Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:04 Good morning and welcome to the Dollarama's Fourth Quarter and Fiscal 2022 Results Conference Call. Neil Rossy, President and CEO; and J.P. Towner, CFO will make a short presentation, which will be followed by a question-and-answer period open exclusively to financial analysts The press release, financial statements, and management's discussion and analysis are available at dollarama.com in the Investor Relations section, as well as on SEDAR. 00:37 Before we start, I have been asked by Dollarama to read the following message regarding forward-looking statements. Dollarama's remarks today may contain forward-looking statements about its current and future plans, expectations, intentions, results, levels of activity, performance, goals or achievements, or any other future events or developments. 00:58 Forward-looking statements are based on information currently available to management and on estimates and assumptions made based on factors that management beliefs are appropriate and reasonable in the circumstances. However, there can be no assurance that such estimates and assumptions will prove to be correct. 01:16 Many factors could cause actual results, level of activity, performance, achievements, future event or developments to differ materially from those expressed or implied by the forward-looking statements. As a result, Dollarama cannot guarantee that any forward-looking statement which will materialize and you are cautioned not to place undue reliance on these forward-looking statements. 01:38 For additional information on the assumptions and risks, please consult the cautionary statement regarding forward-looking information contained in Dollarama's MD&A dated March 30, 2022, available on SEDAR. Forward-looking statements represent management's expectations as at March 30, 2022 and except as maybe required by law. Dollarama has no intention and undertakes no obligation to update or revise any forward-looking statement, whether as a result of new information, future events or otherwise. 02:10 I would now like to turn the conference call over to Neil Rossy.
Neil Rossy: 02:13 Thank you, operator and good morning, everyone. Dollarama delivered a strong operational and financial performance in fiscal 2022. We achieved this while navigating the ebb and flow of the pandemic impacts on retailers and consumers. The fourth quarter being no exception. This remarkable performance speaks to the resilience of our business model, the adaptability and flexibility of our people and our operation and the relevance of our compelling value proposition. 02:46 Same-store sales for the full year grew 1.7%. This is despite the restrictions impacting sales at various times throughout the year. Among those, the nine-week ban on the sale of non-essential items in Ontario, last spring, was by far the most significant. It came at a critical time for our spring sales and impacted 40% of our network. 03:17 For the full year, SSS consisted of a nearly 4% increase in-store traffic and a 2% decrease in average transaction size. This is a reversal from the first pandemic year, when consumers were buying more with each trip, but visiting less frequently. A return to positive traffic is a very welcome trend for the business as we enter fiscal 2023. This once again speaks to Dollarama's relevance and the shopping habits of Canadian consumers. 03:50 Looking at our bottom line, in fiscal 2022, our teams did an excellent job mitigating dynamic global supply chain and other inflationary pressures and that work is ongoing. Sourcing is one of our key strength and something, we manage tightly both from a cost and flow of goods perspective. Our procurement and logistics teams have been working relentlessly to ensure that stores are well stocked, especially from a seasonal perspective. We delivered on that throughout the two years of the pandemic including this past Christmas. 04:28 As we plan our fiscal 2023 sales cycle, we continue to manage our inventory carefully. We are prioritizing goods where needed, working closely with our partners throughout the supply chain and ordering stock even earlier than we have historically. To date, I'm satisfied with our performance in tackling these industry-wide challenges. We are also more focused than ever on maintaining our brand promise and preserving our year around competitiveness across our product assortment. This is in line with our price follower strategy. 05:05 Our pricing strategy also enables us to manage some of the margin pressures including through the regular refresh of our assortment and by leveraging our multiple price points. With regards to the introduction of additional price points up to $5, this has long been the natural next step in our multi-price point strategy. It is also fundamental to our business model since its introduction in 2009. Our strategy when it comes to new price points has always been and to remain to proceed carefully and gradually. The objective at all times is to both maintain and enhance our ability to offer compelling value for each items and the best relative value on the markets. 05:55 Over six years since we last added higher price points, we feel that fiscal 2023 is the right time to proceed with the introduction of items up to $5. That process is now underway. It will be a gradual ramp up starting mid-year and becoming more noticeable through the second half of the year. In the near-term, this brings additional flexibility to manage cost pressures in a heightened inflationary environment. Over the medium-term, it enables us to deepen our broad and compelling product assortments. And at $5, we also remain firmly aligned with our unique and compelling value retail concept. 06:38 Turning now to our growing Canadian footprint. With the opening of 24 net new stores in the last quarter of the fiscal year, we've met our annual target coming in at 65 consistent with the prior year. This brings our year-end count across Canada to 1,421 stores. Going into fiscal 2023, we have a solid real estate pipeline with site opportunities across the country. Another notable development on the real estate front in fiscal 2022 is the execution of a long-term lease for a seventh warehouse located in Laval, Quebec. The 500,000 square foot built-to-suit facility is currently under construction and is expected to be operational by the end of fiscal 2023. This will enable us to increase our warehousing capacity near our existing logistics operations in support of our target 2,000 stores by 2031. 07:41 For its part, Dollarcity had another solid year as reflected in the acceleration of its store opening cadence and its strong earnings contribution to our fiscal 2022. In 2020, their net new store openings were slowed down by the pandemic, coming in at 36. But Dollarcity made up lost ground in 2021, with the opening of 86 net new stores. This brings their total store count to 350 at calendar year-end. Entering into Peru, it's still in its early stages with nine stores, but proceeding well and as planned. There is no doubt that Dollarcity and its value proposition continues to be well received in all countries of operation and gaining more traction as store density increases. 08:34 In 2022, Dollarcity will ramp up investments in the optimization of its logistics network, while continuing to scale its Peru operation. Real estate activity levels are also expected to remain healthy with Dollarcity recognized as a solid tenant and with quality real estate sites available. Looking ahead for Dollarama and what is expected to remain a challenging environment, we are well-positioned to continue along the path of profitable growth, while staying true to our purpose. We are uniquely positioned to provide Canadians from all walks of life with compelling value on every dollar they spend with convenient access from coast to coast. 09:24 We will achieve this by maintaining our value proposition and using the levers at our disposal to mitigate where possible, the various inflationary pressures our industry will continue to face throughout fiscal 2023. I would like to take this opportunity to sincerely thank all of our employees for their incredible dedication and solution-oriented mindset and their entrepreneurial spirit. I also wish to thank our customers for their support and continued loyalty. 09:55 I'll now hand it over to J.P. to discuss our results in more detail.
J.P. Towner: 10:00 Thank you, Neil and good morning, everyone. Let's start by drilling down our fourth quarter results. We delivered a strong quarterly performance across all key metrics. Sales in Q4 grew to 11%, reaching over $1.2 billion and SSS grew 5.7%. Our sales were impacted by the new wave of restrictions implemented in response to COVID-19 in the critical weeks leading up to the holidays and into the month of January. 10:31 Gross margin was 45.2% of sales compared to 45.5% in Q4 last year. The slightly lower margin reflects a change in the sales mix as anticipated. SG&A came in at 14.5% of sales for the quarter compared to 16.9%. While we did have $4.4 million in COVID costs, these were low compared to the $23.8 million incurred in Q4 last year. SG&A also benefited from the positive scaling impact of strong sales. 11:08 Q4 COVID costs are mainly additional hours to manage restrictions implemented in the quarter. Notably, store capacity limits. As previously mentioned, health and safety measures and cleaning protocols have now become part of our day-to-day store operations. Earnings growth in Q4 was exceptional. EBITDA increased by over 20% and diluted EPS increased by over 30% to $0.74 a share. Our strong earnings growth reflects our excellent top-line performance, active gross margin management, lower SG&A and a higher equity pickup from Dollarcity. 11:47 A few comments on full-year results before turning to the fiscal 2023 outlook. To echo Neil, Dollarama's performance in fiscal 2022 was remarkable, reflecting our strong fundamentals. I’m also pleased that we met the guidance we provided across the board. We delivered a solid performance on network and same-store sales growth in the context of a roller coaster of measures implemented and lifted through successive waves of COVID variants. We maintained our industry-leading gross margin year-over-year, coming in at 43.9% of sales in fiscal 2022 in line with the guidance provided. 12:30 SG&A as a percentage of sales came in at 15.1% of sales compared to 16.2% for fiscal 2021. Excluding direct COVID costs, SG&A as a percentage of sales was flat year-over-year also in line with the guidance provided. Looking now at fiscal 2023, there is no doubt that we continue to operate in a complex and volatile environment for consumers and businesses alike. It also remains to be seen how the future path of the pandemic will play out. Under these circumstances, providing guidance can prove challenging, but we felt it was important for investors to have some visibility on our expectations for fiscal 2023 and guidance and select metrics. 13:20 We are maintaining our annual store target of 60 to 70 net new stores. Note that based on the most recent store cohorts, new store performance remains in line with historical payback thresholds. We will also remain highly focused on maintaining our relative value in the market. In the first half of fiscal 2023, we should benefit from a favorable sales environment as we lap COVID-19 restrictions during the same period last year. Our SSS assumption for the full year is in the range of 4% to 5%. 13:57 Turning to the bottom line, rising freight and input costs are expected to be felt more in fiscal 2023 than last year. We do have good visibility on raw material and shipping costs for the next several months and we are confident that we have levers at our disposal to help mitigate some of the pressures on gross margin. The stronger Canadian dollar is also expected to be a tailwind. Based on this, gross margin as a percentage of sales is expected to be in the range of 42.9% to 43.9% for fiscal 2023. This guidance range reflects the gradual introduction of additional price points up to $5 throughout the year. 14:44 SG&A as a percentage of sales should benefit from scaling on higher sales and labor productivity, assuming, we won't see the implementation of strict restrictions like we did in fiscal 2022 and 2021. We expect minimal to no COVID costs in fiscal 2023. So far this year, wage growth has been manageable. As such, SG&A as a percentage of sales is expected to be in the range of 13.8% to 14.3% for fiscal 2023. 15:22 Our annual CapEx budget remains in the range of $160 million to $170 million. The new warehouse in Laval being leased, only minimal CapEx associated with this project, Dollarama continues to benefit from its capital-light model, which drives significant free cash flow generation. When it comes to returning capital to shareholders, we will stay the course and continue to prioritize share repurchases. 15:48 In fiscal 2022, we repurchased more than 18 million shares under our NCIB. At fiscal year-end, our adjusted net debt to EBITDA ratio was 2.77 times. We remain well within our comfort zone of between 2.5 times to 3 times and expect our active buyback strategy to continue contributing to our earnings growth in fiscal 2023. This morning, we also announced Dollarama's 11th consecutive annual dividend increase. The Board approved a 10% increase to $5.53 per share. 16:25 Turning now to the first quarter underway. From an SSS perspective, quarter-to-date, we're pacing at the two-year average of approximately 4%. On gross margin, keep in mind that last year's Q1 mix was exceptionally impacted by the beginning of the ban on the sale of non-essential goods in Ontario, as a result, we expect our Q1 gross margin to be in line with fiscal 2021 levels. When not restricted, Canadian shoppers recognize and appreciate the affordability, value and convenience we offer. That's our brand promise and there is no doubt that these enduring strengths will continue to resonate with consumers throughout fiscal 2023. 17:09 Thank you. That concludes our formal remarks, and I'll turn it over to the operator for the Q&A. Thank you.
Operator: 17:15 Thank you. [Operator Instructions] The first question is from Irene Nattel with RBC Capital Markets. Please go ahead.
Irene Nattel: 17:52 Thanks and good morning, everyone. Before I ask my question, I really want to thank you for the detailed guidance that you provided. It's the best in-class practice. So, thank you. But a couple of questions, nonetheless. First of all, on the supply chain and availability of items, you mentioned that you are ordering earlier, but looking at the inventory levels, they've actually come off a little bit. So wondering where you stand now with in-stock and how we should be thinking about pressures in the system and how you're managing them?
Neil Rossy: 18:27 So, it's an excellent question and your observation as always is very astute. The answer is that those goods are -- I'd love to say planes, trains and automobiles because it would be more fun, but the reality is they're on at ports, boats and ports and trucks. So the real challenge for everybody, who imports a large quantity of good across the entire retail platform is a logistics challenge for the last six months to a year and will continue for the unforeseen future. So the answer to your question is those goods are on route and we have enough goods that it's a non-issue, but certainly, it is more of a challenge than it's ever been.
Irene Nattel: 19:27 That's very helpful. Thank you. So, as we think about, certainly in the stores, it look like you had, all the spring merchandise and or rather the Easter merchandise it sold through very well. So the stuff that's in transit now is for later in the year, sort of summer merchandise?
Neil Rossy: 19:48 Yes. That's right. It's summer. It's all year goods, it's Halloween. It’s all of the things that normally would be coming, a month or two or three earlier, that's just the supply chain is slower and so because we have a business where we have a buffer built into the way we run our business with our warehousing, et cetera. We can cover these issues and mitigate those risks better than most. So there is something to be said at times for not just-in-time delivery.
Irene Nattel: 20:24 Absolutely. And just thinking about demand across categories, obviously, a lot of distortions last year, hopefully, not this year, just around sort of categories, but what are you seeing when conditions are normal? What are you seeing in terms of consumer demand levels relative to pre-pandemic?
J.P. Towner: 20:51 So, Irene, this is J.P. I'll give you maybe some color on our SSS guidance and at the same time, I think I'll answer your question of how we're thinking about traffic and categories. The way we're seeing the environment evolve right now is, there is actually good traffic levels in our stores, strong demand in consumables and so, we're very pleased that consumers across the country recognize that. And then, when you look later in the year, I mean, we'll be comping very favorable comps in Q2 and then, the back half of the year, where I mean the guidance reflects the volatility of the environment and acknowledges that things could change rapidly like we saw last year. 21:51 So I mean, just stepping back, what we're seeing is good traffic, good consumer demand. We're pleased with the pace and the cadence of strong demand in the consumables generally speaking. And then when you think about later in the year in the guidance, there is the comping in Q2, which will distort this year’s SSS and then acknowledging the environment and the volatility in the back half, which I mean it's hard to predict at this point.
Irene Nattel: 22:23 And just one final question, if I may on that subject. I think that on the last call you mentioned sort of the early sell-through for Christmas was good, but then, of course, we have those last-minute restrictions. So how would you categorize the overall demand, sort of -- or your sell-through for Christmas last year versus, let's call it a normal pre-pandemic level?
Neil Rossy: 22:52 Yeah. So what we saw in the Christmas sales was good consumer activity. The sales generally speaking were slightly better than the prior year. So I think we saw a good seasonal performance. Really, when you look at our Q4 SSS, it was really the impact of restrictions and the fact that we were closed on Sundays in Quebec for example, in January and the store capacity limits that we have, we had to deal with in Q4.
Irene Nattel: 23:27 That's great. Thank you. I'll get back into the queue.
Neil Rossy: 23:30 Thanks, Irene.
Operator: 23:32 Thank you. The next question is from Brian Morrison with TD Securities. Please go ahead. Mr. Morrison, we cannot hear you at this time?
Brian Morrison: 23:50 Sorry about that. I'm wondering, if I can just elaborate -- good morning. Can I just elaborate on that same-store sales growth question? When I look at the two-year stack for your guidance, it looks like you're in the range of about 6%. I think historically it's been closer to 8%. You've got the new price points coming on, you've got price increases. So wondering, if you can just walk me through the derivation behind that?
Neil Rossy: 24:12 Yeah. Again, it's -- Brian, recognizing as I've said, number one, on the front half of the year, the favorable comp environment, but then in the back half of the year like we saw last year, we're in a volatile environment, there is good cadence going in the year. It's hard to predict how that will evolve in the second half of fiscal '23. So it's more around the unknowns and the different puts and takes then kind of a clear-cut driver of what's going to happen in the back half of the year.
Brian Morrison: 25:01 Okay. Can I change to Dollarcity, please. When I look at Dollarcity, you've added 86 stores this year. It’s far in excess of your run rate. I realize it includes Peru. Can you maybe just give us some color on this front? And then I think your EBITDA margin was 16% when you acquired it. Can you maybe just give us a little bit of color on how that's trending as well at this point in time?
J.P. Towner: 25:29 Yeah. So look Dollarcity is performing really well. We saw a good cadence on store opening. Peru is still early days. So we want to be prudent. We only have nine stores there. We're still in a typical Dollarama fashion, making sure that all of the angles are covered that there is good receptivity to our business model in Peru. We're pleased with the early results. If the cadence continues and we continue to like what we see in Peru, then, of course, Peru is not factored in the 600 store target by 2029. 26:15 One element to keep in mind when we think about bottom line for Dollarcity is it, as we're scaling Peru, we're investing in the business. So there is kind of the initial J-curve investment that you would expect in entering a new country. So, this should have somehow had an impact on fiscal '23 in terms of the bottom line for Dollarcity.
Brian Morrison: 26:40 Sorry. Are we looking at 50 stores this year or are we looking at 80 stores this year?
J.P. Towner: 26:48 We don't provide specific guidance for Dollarcity in terms of stores opening. But it will really much depend on the environment. For now, I think anywhere between 50 to 60 stores is more reasonable to start with as an assumption and we'll see how the year evolves.
Brian Morrison: 27:11 All right, well done. Thank you.
Operator: 27:17 Thank you. The next question is from Mark Petrie with CIBC. Please go ahead.
Mark Petrie: 27:23 Yeah. Good morning. The announcement of the $5 price point comes a little bit differently than previous announcements. I know you talked about sort of the gradual rollout and that giving you flexibility on gross margin, but I guess I'm just curious, what does that mean? What does this type of rollout mean in terms of how we should expect us to hit the shelves and be marketed to consumers? I guess, leveraging learnings from past price increases?
Neil Rossy: 27:51 So, the answer is that, historically, new price points has one rule, which was to bring new and exciting to the table. In the current environment, it will be that combined with the fact that we are living in an inflationary environment. So we would not expect to see the kind of margin expansion that we've seen historically following the introduction of new price points, but we're extremely sensitive to this not simply being a markup tool. And more importantly, allowing the buyers and the business to broaden their assortment and their offering to the customer over the course of time.
Mark Petrie: 28:43 Okay. That's helpful. And then I guess just a high-level question, just with regards to the competitive environment. I mean, I know you're laser-focused on relative value. I'm just curious to hear your thoughts with regards to what you're seeing in terms of inflation, your price gaps versus peers? And then also just how you think sort of the constrained supply chain that you talked about earlier is sort of playing into this sort of price and promotional environment?
Neil Rossy: 29:13 So I think it's important to clarify that the issue is not the supply. The supply is really very stable. It's more a question of logistics challenges between the supply and the store and that involves mostly overseas challenges and port challenges, a little bit of trucking challenges, but certainly all with inflationary challenges. And on the supply side, it also has inflationary challenges, not supply challenges, but inflationary challenges. That's the case, of course, for everyone. There is also wage challenges and all of that goes into the cost of goods, because at the end of the day a business can only absorb so much workforce. So eventually, when all of the costs go up, then the retail goes up and we have inflation. 30:21 So to answer your question, we've seen huge pressure on all retailers to increase their prices and sort of mitigate some of the pressures that are coming from all of the multiple points that inputs that create the final retail. And we are doing what we've always done, which is ensuring the gap between us and the balance of the retail market, so that we provide our customers with the best relative value we can, while also being responsible to our investors and shareholders and employees to run a business that’s viable.
Mark Petrie: 31:02 That's very helpful. Neil and J.P., thanks a lot. All the best.
Operator: 31:08 Thank you. The next question is from Vishal Shreedhar with National Bank. Please go ahead.
Vishal Shreedhar: 31:15 Hi. Thanks for taking my questions. Can you update us on the Dollarcity Founder put rights and if they've indicated anything about their intention? And in terms of capital outlay, do you have any comments on how investors should think about that?
J.P. Towner: 31:39 So the put option for Dollarcity becomes exercisable later this year, in the second half. We really like them as partners. We're working very well together. There are good synergies between the two groups. And I think they see the upside in the business as we see the upside in the business. So it's very hard at this point when you take the synergies, the management teams and the growth -- the future growth of the business to speculate on how the put option will play out. In any case, if it were to play out, we have the liquidity and the balance sheet capacity to handle that kind of transaction. 32:37 The second piece that's important in that discussion is that the put option in general is subject to many restrictions and we're not in a scenario, where they would be in a position to sell their full ownership in Dollarcity. So if there were any put options to be exercised, it would be a percentage of what they already own, I hope that it helps answer your question?
Vishal Shreedhar: 33:11 Okay. And the transformational initiatives referenced in the outlook, can you provide some color on what that relates to?
J.P. Towner: 33:19 I mean it's the usual productivity initiatives that we would have talked in the past in terms of scheduling energy consumption, shrink management. We've seen very strong performance in our shrink control this year and we hope that continues next year. So the standard productivity initiatives that we would have talked about in the past.
Vishal Shreedhar: 33:53 All right. Okay. And with respect to jumping back to Dollarcity, the earnings growth was very strong. Were there any transient items in there that we should be aware of. And should we just reflect, I understand you gave some hint that proves still scaling, but should we reflect that kind of cadence looking forward, look towards 2023 -- fiscal 2023?
J.P. Towner: 34:22 As we scale Peru, I think there will be further investments in the bottom line. And so, although we'll see good healthy store growth and we like what we see in terms of customer perception, I think we should also acknowledge the investments that need to be made to scale Peru to where we'd like it to be assuming the business continues to perform as it's been performing so far.
Vishal Shreedhar: 34:54 Thanks for the color.
J.P. Towner: 34:56 Thanks, Vishal.
Operator: 34:59 Thank you. The next question is from Patricia Baker with Scotiabank. Please go ahead.
Patricia Baker: 35:05 Yeah. Thank you and good morning, everyone. Firstly, in your guidance, you provided the assumptions that you're making that supports that particular guidance. One of the things you talked about is in approximately three months visibility on opening orders and product margins. And I'm just curious about whether or not historically three months is the visibility that you normally have had or is it slightly different than normal times?
Neil Rossy: 35:33 In the assumptions, it's a good question, Patricia. In the assumptions, we mentioned at least three months' visibility. Right now, the visibility we have on open orders would be in line with historical average and nothing different than what we would have seen in the past.
Patricia Baker: 35:53 Okay. Thank you. And then secondly, I just want to clarify with respect to the seventh -- the seventh warehouse that you'll be opening towards the end of fiscal '23. Am I right in assuming that seventh warehouse to provide -- it will provide the full support that you will need for the 2,000 stores, in other words, we won't be seeing any other incremental warehousing activity between now and 2031?
Neil Rossy: 36:23 So, we won't say, yes to your question, because we may make changes. So it may not be a question of whether we'll be adding and it may be a question of whether we'll be adapted. So, it's not as simple as that. We won't add more, but we may make changes and therefore there may be more CapEx because of changes that we would make and we would make those changes of course, if there was a business plan behind if that made sense.
Patricia Baker: 36:52 Okay. That makes sense. Neil, thanks for that. And then my final question and maybe this is a little difficult to answer, but things are changing dramatically with respect to COVID, it's something that we'd been used to for the last two-plus years. There is always volatility and currently you have Shanghai under lockdown. I'm just wondering, whether you foresee any kind of issue with your vendors, if things continue along this way and whether that could have an impact on trying to get the product in the future? I know it's difficult to answer, but are you concerned about what's happening there in Shanghai being under a lockdown?
Neil Rossy: 37:29 We're always concerned about everything globally that affects the business, whether it's geopolitical or otherwise or COVID base. And it all has an impact. It really comes down to timeframe. If it's one to three weeks, it's no problem. If it's three months, so, then it's a challenge. And there are always ways to work around the problem where 99% of the time, the best ways to work around the problem. If the port in Shanghai is closed and the city is closed, first of all, not much production happens around the city. It's mostly in the outskirts and the goods that we ship out of Shanghai can be trucked down to other ports, where there is less flare-ups that are currently happening in China. There is a cost to that. There is a time factor to all that, but at the moment, we are not concerned. If it goes on for a long period of time, we will be concerned and what will happen is, we will find alternatives that cost more money and they cost anybody who makes goods in those regions more money of course.
Patricia Baker: 38:46 Okay. That's very helpful, Neil. And then just stored up on that same topic, we're hearing a lot of retailers talking about diversifying their sourcing away from Asia and particularly, away from China. Can you just talk strategically or philosophically about what your view is on that and whether or not you're actively seeking to diversify it away from China in any way, shape or form?
Neil Rossy: 39:15 Well, philosophically and strategically, we've always tried to diversify as much as we can around the globe our supply base. But we also have to be realistic to the costs from those alternatives and as those costs do not allow us to be who we are, which is -- that's relative value in the market, then we take a note of what the alternative supply sources is should something ever happen and force us to do so, but we continue to buy from the lease cost vendor because that's part of our special sauce.
Patricia Baker: 39:58 Thank you very much, Neil.
Neil Rossy: 40:00 Thank you.
Operator: 40:04 Thank you. The next question is from Chris Li with Desjardins. Please go ahead.
Chris Li: 40:10 Hi. Good morning, everyone. Hi, Neil, just I wanted to clarify, so the reason you are introducing the higher price points now is that you're seeing other competitors raising prices too and this gives you the comfort to do the same and essentially maintain still a healthy price gap versus your competitors, is that correct?
Neil Rossy: 40:28 That is certainly one factor in the decision. The other factor, so that it's not just a story about charging more because that would be a horrible story, is that it also allows us to bring in a new range of goods that we could never afford. So it's a mix of both things. I certainly would not tell you that it will only be new goods. There will be some price changes on the goods that -- at our highest price point we were absorbing, cost increases for the last six years because it was our highest price point. Some of those costs will be passed on so that we can continue to offer those goods, but it allows us to bring back goods that were priced out of our price range and it allows us to bring in goods that we've never been able to buy because they weren't in our price range. So it's a combination of both.
Chris Li: 41:21 Okay. That's helpful. But the point is that your competitors are doing the same thing because you guys have obviously price follower. So, unless they're doing it, you wouldn't feel comfortable unless you're seeing similar actions by them?
Neil Rossy: 41:33 You are 100% correct.
Chris Li: 41:35 Okay. That's helpful. And then may be related to your comment earlier about sort of this is being more of a margin neutral impact. I just want to confirm that, I guess you're referring maybe just for this year, because there were some cost pressure, but let's assume we go into next year, cost pressures hopefully normalize, you're still going to have these higher price points. So at that point, is it fair to assume that you should start to see some margin benefits or else being equal?
Neil Rossy: 42:00 That's possible, but it's also possible that some of the retailers will have to go down to stay competitive, if our competition does that as well. If our competition does not get less expensive, but we remain the best cost supplier, then even if some of that cost pressures in the supply chain are diminished or some of the FOBs are diminished, then it's possible that those will be realized in profit for our shareholders, but our most important focus is always the value to our customers and we all know that some of our costs will never go down such as wages, et cetera. There is a whole list. But if FOBs and some of the supply chain goes down, then it remains to be seen how they get that.
Chris Li: 42:51 Okay. That's helpful. Thanks and all the best.
Neil Rossy: 42:55 Thank you, sir.
Operator: 42:57 Thank you. The next question is from Peter Sklar with BMO Capital Markets. Please go ahead.
Unidentified Participant: 43:03 Hi. Good morning. It's Emily (ph) for Peter. So let's shift to the consumer. So as our results of the recent inflationary environment, have you seen any changes in the consumer behavior at Dollarama? And, like for example of the basket or traffic being impacted because again proved because Dollarama is viewed as a value destination or has basket seen at all impacted because the consumer wallet is now squeezed with increasing gas prices and et cetera. And are there any mix shifts or categories coming in or out of favor as a result of these changing trends?
Neil Rossy: 43:40 So I mean, generally speaking, I think our value proposition is very well received by Canadians. We're working really hard to maintain the best relative value and that of course translates into good traffic activity level. So we're pleased with what we're seeing going in the first quarter. How that will evolve over the course of fiscal 2023 remains to be seen. There is a lot of puts and takes to that discussion. And then in terms of mix and categories, I mean it’s -- there is good demand on the consumable side, but the general mix overall remained stable and were in line with what we've seen historically.
Unidentified Participant: 44:34 Okay. Thank you very much.
Neil Rossy: 44:36 Thank you.
Operator: 44:39 Thank you. The next question is from Derek Dley with Canaccord Genuity. Please go ahead.
Derek Dley: 44:46 Yeah. Thanks. In the outlook, you mentioned that you've got some gross margin levers that you can use to manage inflationary pressures. Can you just outline what some of these are outside of that price increases?
Neil Rossy: 45:03 Yeah. So those would be the usual levers that we've talked about in the past. For example, refresh -- we refreshed 20% to 30% of the store every year? And so that allows us to offer goods that drives traffic and drive sales, but also maintain the margin thresholds that we want. There, of course, are the multi-price point strategy. We can optimize packaging and cube if required. So there is -- there are a bunch of levers that we've used historically that we're continuing to use and this year keep in mind that we also have the tailwind of a stronger hedged Canadian dollar rate.
Derek Dley: 45:54 Yeah. Okay, understood. And then just on the real estate front, have you witnessed any changes or perhaps any relief in real estate cost just given some of the COVID challenges that many other less well-capitalized retailers have faced over the last few years?
Neil Rossy: 46:15 I'd love to say yes, but the answer is no. We haven't seen any relief on the cost side of things on the real estate front, where a major tenant across the country, I think landlords in general, don't want to set precedents with Dollarama. And so, we're not seeing any relief on that front from a cost perspective.
Derek Dley: 46:40 Okay. That's interesting. Thank you very much.
Neil Rossy: 46:42 Thank you.
Operator: 46:45 Thank you. The next question is from Karen Short with Barclays. Please go ahead.
Renato Basanta: 46:52 Hi. Good morning. This is actually Renato Basanta on for Karen. Thanks for taking our questions. So just first, I wanted to follow up on the new price points. You talked about a gradual introduction and referenced mid-year. So, I just wonder if you can provide some details or maybe even quantification on how you're factoring this into the 45% comp guidance?
Neil Rossy: 47:16 The new price point introduction keep in mind will be very gradual throughout the year. So starting in the back half, June-July, that's when you'll start to see the new price points kicking in and it will be gradual. So that's been -- that's has been factored in this year as SSS guidance, but I wouldn't say that for fiscal '23, it's let’s say major material driver of SSS performance given the gradual ramp up.
Renato Basanta: 47:53 Got it. That's helpful. And then just wondering if you could talk a little bit about the relationship between sales growth and EBIT growth on a more normalized basis going forward. Obviously, there's been some noise over the last couple of years and this year is also a bit unusual with the supply chain and the new price points, but just wondering what the sales and EBIT relationship should look like, excluding some of the factors that have impacted things over the last couple of years, so on a more normalized basis? Thanks.
Neil Rossy: 48:27 Yeah, I mean it's the general growth algorithm that should be familiar with, when looking at Dollarama. So we strive for good SSS performance. We have the contribution from new stores. We work hard on gross margin management and we're generally doing a very good job with OpEx management on the SG&A front of things. So all in all, the EBITDA, EBIT growth should reflect revenue growth. Keeping in mind that you have Dollarcity contribution that's in additional kicker to our growth profile, but it's the usual growth algorithm that you'd be familiar with. So nothing would change in our kind of medium term growth algorithm going forward. It's -- we're going through the supply chain disruptions, navigating the environment, but when things normalize, which they will eventually, it's kind of a normal growth equation that you'd be familiar with for Dollarama.
Renato Basanta: 49:39 Got it. That's helpful. And then just lastly, if I may, just wondering if you can speak to the high gas price environment and any potential impact if you -- if you've seen anything thus far? And if not, what gas price do you actually start to see an impact historically? And if you think the higher fuel prices benefit you from a convenience or a trade down standpoint, from a consumer perspective? Thank you.
Neil Rossy: 50:07 So higher gas prices from an expense perspective are not good. And so they have been factored in our guidance. Of course, depending on how it fluctuates over the course of the year, this will impact or will be one of the factors impacting where we will end up in terms of gross margin. From a consumer perspective and SSS, I mean I think as we mentioned before, the value proposition and the relentless focus on having the best value in the market is being recognized by the consumers and so that's really our focus right now is just making sure that we have the best relative value and if we do that, good things will happen.
Renato Basanta: 51:05 Great. Thank you and best of luck.
Neil Rossy: 51:08 Thank you.
Operator: 51:12 Thank you. This will conclude the question-and-answer session as well as today's conference call. Please disconnect your lines at this time and thank you for your participation.